Operator: Good morning, ladies and gentlemen, and welcome to the Chatham Lodging Trust Fourth Quarter 2025 Financial Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. I would now like to turn the conference call over to Chris Daly, Owner of Daly Gray Inc. Please go ahead.
Chris Daly: Thank you, Jenny. Good morning, everyone, and welcome to the Chatham Lodging Trust Fourth Quarter 2025 Results Conference Call. Please note that many of our comments today are considered forward-looking statements as defined by federal securities law. These statements are subject to risks and uncertainties, both known and unknown, as described in our most recent Form 10-Ks and other SEC filings. All information in this call is as of 02/25/2026, unless otherwise noted, and the company undertakes no obligation to update any forward-looking statement to conform the statement to actual results or changes in the company's expectations. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call, on our website at chathamlodgingtrust.com. Now, to provide you with some insights into Chatham Lodging Trust’s 2025 fourth quarter results, chairman, president, and chief executive officer allow me to introduce Jeffrey H. Fisher, Dennis M. Craven, executive vice president and chief operating officer, and Jeremy Bruce Wegner, senior vice president and chief financial officer. Let me turn the session over to Jeffrey H. Fisher. Jeff?
Jeffrey H. Fisher: Thank you very much, and I certainly appreciate everyone joining us here for our call today. Before talking about the fourth quarter specifically and our outlook for this year, I would like to spend just a few minutes highlighting some noteworthy as we look back at the last year. Operationally, it was a really good year for us to despite the extreme volatility that adversely impacted the industry and our top line. On the top line, for the fourth consecutive year, though, our RevPAR performance beat the industry, and we continued pushing our other operating profits, other department operating profits higher as well. Despite essentially flat RevPAR, and for this, we were really we were able to limit our GOP margin decline to only 20 basis points by staying laser focused on our staffing levels and improving productivity. Our labor and benefits costs actually declined slightly in 2026, offsetting wage increases of almost 4% in the year. And most importantly, for the first time since the pandemic, we generated the highest operating margins in the industry, reclaiming our top spot among the rankings that we held for an entire decade from 2010 to 2019. Looking ahead to this year, our hotel wages are reassessed in July each year and our wage increase for the 2025 is up only 2% versus the first half of the year, which means wage pressures are moderating throughout 2026. Strategically, we sold four of our older lower RevPAR hotels proceeds to reduce debt at an approximate cap rate of 6% and used those and to acquire shares under the repurchase plan we initiated in 2025. Since announcing the plan, we have repurchased approximately 1,800,000 shares, or approximately 4% of our outstanding shares, at an average price of $6.87 per share, for a total repurchase of almost $13,000,000, or just over half of our $25,000,000 plan. At our average acquisition price, those shares were acquired at an approximate 9.5% cap rate based on our 2026 corporate NOI guidance. And might be the only lodging REIT with an average repurchase price below current trading levels since peers initiated their repurchase plans. Using average multiples for the last 25 years, these repurchases certainly are going to be accretive. On the corporate side, we added 10 rooms to our portfolio by converting excess meeting space and other available spaces, which will deliver the best returns for those spaces in the hotels. We continue to participate in the GRESB Sustainability Benchmark and ranked 29th out of 95 listed companies. We completed the largest and most attractive financing in Chatham Lodging Trust’s history, with total capacity of $5,000,000,000 while reducing our overall borrowing costs, and we used proceeds from the sale of assets and free cash flow to reduce our net debt by $70,000,000 and further reduce our leverage ratio to a mere 20%. By the way, that leverage compares to almost 35% in 2019. All of these accomplishments allowed us to increase returns to our shareholders, and we were able to increase our common dividend by 28% in 2025. Including our repurchase plan and both common and preferred dividends, we returned approximately $35,000,000 to our shareholders. It was truly a great job by our teams at Island Hospitality and Chatham Lodging Trust staying in constant communication and on the same page delivering solid results throughout a very volatile year. As we move forward, we are confident in the industry long term. The supply-demand equation should benefit existing owners as construction costs remain quite high, and development is only justified in certain markets, GDP growth is healthy and should accelerate if even a portion of the trillions of dollars of announced investments in technology and reshoring of manufacturing come to fruition in the United States. Existing hotel owners should benefit via stronger RevPAR growth in the years ahead. We obviously need to be able to push those incremental revenue dollars down to GOP, and really, for the first time in almost a decade, wage pressures are mitigating to the lower single-digit range, which is vital given that labor costs are our largest expense. As we sit here today, we are in a great position to deliver earnings growth and shareholder returns in multiple ways. First, we will continue to repurchase shares and intend to utilize most, if not all, of our $25,000,000 plan this year. Second, operationally, we are positioned to outperform the industry on both top and bottom line. There was a lot of noise in 2025 that impacted RevPAR in some of our key markets, so, hopefully, things calm down this year. And if they do, our operating model is best at driving profits higher as we have demonstrated over and over again. Third, we will continue to opportunistically sell older non assets with the goal of reinvesting those proceeds into share repurchases or hotel investments. And on that front, we were disappointed not to make any external acquisitions in 2025, but sometimes the best deals are the ones that you do not do, and we never had enough conviction on any deals and chose to remain patient. With significant financial flexibility, we are confident that we can make some acquisitions in 2026 as financing costs have lessened and seller pricing expectations have adjusted somewhat from where we were a year ago. The markets, of course, will have to make sense for us. And we are looking for some continued diversification both in markets and demand generators. And of course, yields have to approximate the implied yield on buying our own stock. We want to invest in markets that are going to benefit from increased business investments which is generally the Central and Southeastern US. Lastly, we do expect to commence our Portland, Maine hotel development in the coming months with opening before the 2028 summer. As I stated earlier in my comments, hotel development really only makes sense in certain markets. And Downtown Portland happens to be one of them, especially considering we have no cost basis in the land. Our focus is on increasing shareholder returns and, in addition to the share repurchase program, we believe our initiatives should enable us to return even more money to our shareholders via further increased dividends this year. Before Dennis gets into the fourth quarter details, I do want to spend a few minutes talking about our largest market, Silicon Valley, its performance in 2025, and our outlook beyond. Silicon Valley is our largest market, and RevPAR grew only 1% in 2026. But it was a tale of two halves, as RevPAR was up 5% in the first half of the year and then we were off 4% in the third quarter and less than 1% in the fourth. Our Mountain View Residence Inn was under renovation for the last two months of 2025 and will remain under renovation through March. Also, if you recall from our third quarter call, we lost some business related to pricing strategies around a single corporate client at our two Sunnyvale hotels. Third quarter RevPAR was down 9% in the third quarter, and we did a great job replacing that business, or some of it, in the fourth, with RevPAR only down 1%. We will continue to feel some impacts in the first quarter of this year as to that account. But as the year progresses, our comps will get better, and we will benefit from World Cup schedule, and that sets up very well for our two Sunnyvale hotels. And of course, we remain very constructive on the Valley, and Mountain View, particularly, of course, is anchored by Google, Waymo, LinkedIn, Intuit, and several other firms that certainly provide a good steady source of demand for that hotel. Sunnyvale is quickly rebounding from the post-pandemic slumber. Sunnyvale's office market is rebounding faster than any other Silicon Valley market, and had 1,400,000 square feet of positive absorption last year. In 2025, Apple increased its square footage by over a million feet, and LinkedIn added to its campuses, and Applied Intuition, which is a $15,000,000,000 software company for self-driving cars, moved into Sunnyvale. And, of course, our largest client, Applied Materials, is building a $4,000,000,000 chip facility that is only a block or two away from our two Sunnyvale hotels. So we certainly look forward to continued better times over the next few years in the Valley. With that, I would like to turn it over to Dennis.
Dennis M. Craven: Good morning, everyone. Some additional RevPAR information. Occupancy at our four Silicon Valley hotels was 72%, and ADR was up 2.5% in the quarter, despite that shift in business that Jeff talked about in Sunnyvale from the third and fourth quarters. Our six predominantly leisure hotels, which account for approximately 20% of our EBITDA, produced RevPAR growth of 50 basis points in the quarter. And the shutdown’s impact on our three DC-area hotels accounted for about 60% of our quarterly RevPAR decline. Some more color on our larger markets: California, which is home to two more of our top eight markets in addition to Silicon Valley, Los Angeles and San Diego. San Diego RevPAR declined 8% in 2025 as the market retracted from an all-time best convention calendar in 2024. Additionally, demand slipped due to the opening of the nearby Gaylord, as well as the shutdown of the border, which reduced our government business at our hotel. The 2026 convention calendar sets up similarly to 2025 with 43 conventions in 2026 versus 46 in 2025. In LA, RevPAR at our three hotels is up 4% in 2025 due in part to the significant fire-related business we received, especially at our Woodland Hills Home2, which benefited basically from January through the early parts of May. Now, obviously, in the LA area for the balance of the year, it was generally softer of 2025 due to the general unrest in the LA area. Hopefully, that also settles down in 2026, and similar to Sunnyvale, we should benefit from World Cup demand given the proximity of our Marina del Rey and Anaheim hotels to the stadium in LA. In other large markets, our Coastal Northeast hotels have better 2026 comps due to renovation impacts in 2025, and our DC-area hotels have much easier comps after January due to all the shutdown-related businesses or pauses in 2025. Our Bellevue Residence Inn also should continue to benefit from increasing corporate demand. In Texas, all three markets have felt the impact of convention demand fall off, with Dallas and Austin's convention centers under renovation and expansion, while San Antonio just did not have a great convention calendar in 2025. Dallas will have tough convention comps through the first quarter, but we will see demand from the World Cup in the second and third quarters, as Dallas not only hosts nine games, which is the most of any city, but the nearby Kay Bailey Convention Center will host up to 5,000 media professionals as it is serving as the International Broadcast Center for the World Cup Research Center. And then, in a very encouraging development for our two Austin hotels at The Domain, a planned $3,000,000,000 MD Anderson Hospital in recent that was previously expected to be built downtown is now expected to be built at The Domain with groundbreaking starting in 2026. Outside of our top markets, at our Home2 in Phoenix, as a reminder, it opened in 2024, and we acquired the hotel in May 2024. RevPAR was up approximately 17% in the quarter as we continue to gain market share as we have been able to partner with the nearby baseball stadium, the arena, and the convention center to participate in business blocks that were, you know, generally reserved far in advance of the stay dates. Charleston and Savannah continue to grow due to rising corporate demand in South Carolina, and in Savannah, coming out of a really great renovation, it has really done well with getting additional corporate demand and leisure demand to the hotel. Our top five RevPAR hotels in the quarter were our Residence Inn White Plains with RevPAR of $200, our Residence Inn Fort Lauderdale at $186, and Residence Inn New Rochelle, New York at $185, followed by our Residence Inn Anaheim, our Hampton Inn Portland with RevPAR of $166. For 2025, our top RevPAR hotels were the Hampton Inn Portland, with RevPAR over $200, and, of course, that is great news for our pending development, followed by our Hilton Garden Inn Marina del Rey, Residence Inn White Plains, Fort Lauderdale, and San Diego Gaslamp, all five with RevPAR over $185. As Jeff remarked in his opening comments, we were pleased with our ability to mitigate our margin loss throughout 2025. During the fourth quarter, our GOP margins only declined 30 basis points despite RevPAR declining almost 2%. We were able to hold the year-over-year increase in labor and benefit cost to just under 2% in the quarter, which was the primary driver behind limiting the decline in that department’s profit to only 1%. Most other operating line items were relatively stable year over year, with non-departmental expenses flat at approximately $21,000,000, and the only other major item to note was guest acquisition-related commission cost were down a couple hundred thousand dollars and aided our margins by approximately 20 bps. Our hotel EBITDA margins benefited from some one-time property tax refunds, and then they actually grew 70 basis points in the quarter. Property insurance was down 3% in the quarter, and great news on our renewal is that those premiums are projected to decline a further 15% on a same-store basis in 2026. For the year, our GOP margin decline was limited to a mere 40 basis points. Labor and benefits only increased 1.2% on a per-occupied-room basis for the quarter and actually declined slightly from last year to 2025. For the 33 comparable hotels, our headcount decreased 13% from a year ago. For the quarter, our top five producers of GOP were all Residence Inns. In fact, the top seven were all Residence Inns, but leading the way was Residence Inn Gaslamp with $1,600,000, followed by our Residence Inn Anaheim, both Sunnyvales, and White Plains. For the year, our Gaslamp Residence Inn led the way followed by our Residence Inn Sunnyvale number two, Sunnyvale number two, and Bellevue hotels. And then rounding out the top five were our Embassy Suites Springfield, despite all of the government shutdown impacts and threats, and lastly, our other Sunnyvale hotel. So just to point out, despite a volatile last two quarters in Sunnyvale, the fact that both of those hotels, as well as our Bellevue Residence Inn, were in our top five of GOP producers in the year is pretty encouraging from a corporate demand standpoint. On the CapEx front, we spent approximately $4,000,000 in the quarter, and during the quarter, we had commenced renovations at our Residence Inn in Austin and Mountain View, California, and those will be wrapping up as Jeff talked about shortly. Our CapEx budget for 2026 is approximately $26,000,000, basically the same as 2025, and includes three renovations at a cost of approximately $717,000,000. The three hotels scheduled for renovation in 2026 are our Gaslamp Residence Inn, our Hyatt Place Pittsburgh, and our Homewood Suites Farmington, all three scheduled to commence in the fourth quarter. Lastly, when you look at our guidance, I wanted to note the projected performance of our top markets. Silicon Valley RevPAR is projected up 3% to 5% in 2026 with increasing business travel demand as well as a favorable World Cup schedule, as nearby Levi's Stadium is hosting six games. Los Angeles is down 1% to 3%, again primarily due to the tough comps caused by the LA wildfire demand in our hotels in 2025. Our Coastal Northeast portfolio is projected to be between flat to up 2%, with our Greater New York hotels essentially projected to finish flat for 2026. In DC, we are projected up 2% to 4% as we lap overall the shutdown effects. San Diego is projected to be down slightly, again due to the decline in conventions from 46 to 43. And Dallas is projected to be down mid-single digits due to the lost business related to convention center expansion and renovation that is ongoing. And lastly, of our top markets, Bellevue is expected to grow mid to upper single digits as it laps over renovation comps, but also increased business travel demand and a little bit of World Cup as well. Jeremy?
Jeremy Bruce Wegner: Thanks, Dennis. Good morning, everyone. Our Q4 2025 hotel EBITDA was $22,400,000, adjusted EBITDA was $20,200,000, and adjusted FFO was $0.21 per share. We were able to generate a GOP margin of 40.2% and hotel EBITDA margin of 33.2% in Q4. GOP margins for the quarter were only down 30 basis points from Q4 2024, despite the 1.8% RevPAR decline in the quarter due to outstanding expense control and stabilizing inflationary increases, and hotel EBITDA margins increased by 70 basis points due to $550,000 of property tax refunds in the quarter. In late December, Chatham Lodging Trust closed the sale of the Homewood Billerica for $17,400,000, and over the course of 2025, Chatham Lodging Trust completed four asset sales for a total of $71,400,000. These asset sales, together with the successful refinancing and upsizing of Chatham Lodging Trust’s revolving credit facility and term loan in late September, have helped Chatham Lodging Trust achieve its lowest ever leverage level and highest ever level of liquidity. Chatham Lodging Trust’s strong balance sheet puts the company in an excellent position to continue actively repurchasing shares and to grow opportunistically through accretive acquisitions. Turning to our 2026 guidance, we expect RevPAR of minus 0.5% to plus 1.5%, adjusted EBITDA of $84,000,000 to $89,000,000, and adjusted FFO per share of $1.04 to $1.14 for the full year. This guidance reflects our decision to exclude noncash stock-based compensation expense from our adjusted FFO effective 01/01/2026, so that our presentation is comparable to how the majority of lodging REIT peers report this measure. Our guidance reflects the sales of the Homewood Billerica, Homewood Brentwood, Courtyard Houston, Hampton Houston, Homewood Billerica, which closed in 2025 and collectively contributed $2,100,000 to Chatham Lodging Trust’s 2025 EBITDA. You should also note that Chatham Lodging Trust’s 2025 EBITDA and FFO included approximately $2,600,000, or $0.05 per share, of one-time benefits from property tax refunds, workers' compensation refunds, and payroll tax refunds, which are not expected to repeat in 2026. Reflecting the asset sales completed in 2025, our 2025 RevPAR would have been $130 in Q1, $156 in Q2, $154 in Q3, $131 in Q4, and $142 for the full year. In 2025, our RevPAR increased 4.4% in Q1 before declining 0.4% in Q2, 0.9% in Q3, and 1.8% in Q4, so year-over-year comparisons will generally be challenging in Q1 2026 before getting easier over the rest of the year. We generally expect that Chatham Lodging Trust’s Q1 2026 RevPAR will be low single digits and then be positive for the rest of the year. Also note that our capital structure includes $200,000,000 of floating-rate debt, and our guidance assumes that SOFR will decline based on the current forward curve, which reflects the assumption of rate cuts in 2026. So our guidance assumes quarterly interest expense will decline over the course of 2026. While our guidance does not reflect any share repurchases or acquisitions, our plan is to continue repurchasing shares and, over time, to reinvest asset sale proceeds into accretive acquisitions. This concludes my portion of the call. Operator, please open the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. Should you wish to cancel your request, please press the star followed by the two. If you are using a speakerphone, please lift the handset before pressing any keys. Your first question is from Gaurav Mehta from Alliance Global Partners. Your line is now open.
Gaurav Mehta: Yes, thank you. Good morning. Wanted to ask you on some other dispositions that you have made in 2025. As you look into your portfolio, do you think there is room to start any more assets in 2026?
Dennis M. Craven: Hey, Gaurav. This is Dennis. Nice to talk to you. Listen, I think, you know, we probably have one or two more that we will opportunistically look at selling. But, you know, I think certainly the half a dozen hotels we have sold over the last 18 months or so kind of, you know, did a good bit of trimming. So we will always look to do a couple here and there, but with the purpose of certainly reinvesting those dollars.
Gaurav Mehta: Okay. And maybe on the, I guess, acquisition side, I think in the prepared remarks, you said maybe there is some improvement in the pricing. And just wondering if you could maybe provide some more color on, I guess, deploying some of the disposition proceeds from last year and maybe taking leverage up back to historical levels?
Jeffrey H. Fisher: Yeah, this is Jeff. We are certainly comfortable since we have been at this for a long time with leverage levels, you know, that we have had from 2010, for example, to 2020. So, yes, we are, you know, we have been digging in here and doubling down on our efforts. I think generally what we are seeing in the market since RevPAR has flattened out, and this always seems to be the case, sellers seem to get a little bit more realistic about, you know, what their hotel may or may not really be worth, and have a little more incentive, I think, to transact if they have got, you know, flat RevPAR and, you know, an EBITDA going down a little bit, such as, you know, occurred during 2025 and, you know, the prospect by most companies in the category that we like, you know, as you know, is kind of a flattish RevPAR outlook. Again, we think for us and maybe for others, that is a very conservative outlook, but we are going to take advantage of that outlook by owners as well and try to make a few deals.
Gaurav Mehta: Alright, great. Thanks for those details. Maybe on, I guess, the expense and margin side, where do you expect to see some pressures in 2026? I think on the rate side, it seems like it is coming down to mid-single digits, maybe outside of wages, other expense line items.
Dennis M. Craven: Yeah, I mean, listen, I think especially early in 2026, utilities have a little bit of pressure on them just because of the cold storms that have hit, whether it was the Central and Southeast last month and now, or earlier this month, but also now you have the Northeast. So I think you are probably all of will have a little bit of utility pressures here in the first quarter. But really outside of that, Gaurav, I mean, I think it is really how much you can control the labor on an inflation, you know, wage increase basis. So really, everything else is fairly stable from an operating expense standpoint.
Gaurav Mehta: Alright. Thank you. That is all I had.
Dennis M. Craven: Thank you.
Operator: Thank you. Your next question is from Ari Klein from BMO Capital Markets. Your line is now open.
Ari Klein: Thanks and good morning. Maybe just following up on the expense side. You have had a lot of success there and you have, you know, generated some real productivity improvements. Just curious how much room you think is left on that front, you know, and the ability to kind of, you know, keep a lid on cost just from those productivity improvements.
Dennis M. Craven: Hey, Ari. I mean, listen, I think we would certainly love to say there is always more. But, you know, I think as I talked about in my prepared remarks, our headcount is down about 13% year over year. Both Chatham Lodging Trust and Island are spending a lot of time literally adjusting models every day based on, you know, trends, and it was very volatile in 2025. So I think, you know, given the fact that we are hopeful that, you know, as Jeff talked about with wage increases kind of averaging right at 2% from the first half of the year to the last half of 2025, you know, that we have not seen anything that has changed that over the first almost two months of 2026. So, you know, for us, it is all about controlling wages and headcount. And, you know, we are going to continue to do that throughout the year. And hopefully, helps, you know, us do a little bit better down the road.
Jeffrey H. Fisher: Yeah. I mean, the focus there is not trying to continue to find cuts that probably do not exist, but it is to flow, you know, if it is a nominal RevPAR increase, it is to flow that money to the GOP and to the bottom line. And I think we have proven, you know, that Island has been pretty successful in doing that. So really, that is for this year. If we get some upside, we want to see that flowing right to the bottom line, you know, to enhance those returns for everybody.
Ari Klein: Thanks. Appreciate that color. And then maybe just a couple of quicker ones. You gave a lot of detail on your market level expectations for 2026. Curious just, you know, overall, the impact from the World Cup and your expectations around that, given that you do have a number of markets that seem well positioned there? And then just on the Portland, Maine development, just the cost associated with that, and I do not believe that is included with CapEx. Just wanted to confirm that.
Dennis M. Craven: Yep. Yeah, so I will start with Portland. The cost is not included in our CapEx number. We will come out with official guidance on that probably at our next earnings call, Ari, with respect to dollars and especially the timing of the flow of those dollars over the project to make sure everybody at least has it modeled correctly. And then with respect to the World Cup, I mean, listen, I think we have, you know, certainly you look at it by market, we are going to be fairly conservative at the outset. And just to give you a specific example, you know, the International Broadcast Center at the Kay Bailey Convention Center in Dallas, you know, just within the last few months, we had a smaller group that basically canceled for the hotel. I think you probably, you know, you hear that, you know, in some locations there is, you know, concerns about demand and tickets and who is coming in and everything like that. So, you know, yes, it is going to be very good for the markets in general, but at least where we sit here today, we are going to be, you know, we are still going to be a little bit conservative about how that ultimately translates because there is still, you know, some uncertainty over demand related to events in certain cities, whether that is, you know, LA, Seattle, and even in Dallas.
Operator: Alright. Thank you. Thank you. Thank you. You once again please press 1 should you wish to ask a question. And your next question is from Tyler Batory from Oppenheimer. Your line is now open.
Tyler Batory: Just want to expand on the RevPAR guide a little bit, and you gave some details on and whatnot. But just really trying to get a good sense on the cadence that we should expect for the year. I think you said down single digits in Q1 and then up the rest of the year. I mean, how much of that is just the comps? You know, maybe, you know, remind us, you know, some company-specific building blocks this year that are contributing to the growth in the last three quarters of the year compared with the first quarter? Okay, great. From a revenue management perspective, how are you thinking about the mix of occupancy ADR in 2026? And how is that influencing your margin expectations for the year? So, switching gears to capital allocation. You have been pretty active repurchasing shares. Assume you still view the stock as undervalued given where shares are today. How aggressively do you expect to deploy the rest of that authorization? And just help us think about your balancing potential buybacks with what you might do in terms of acquisitions.
Dennis M. Craven: Yeah. I mean, I think, you know, basically, if you look at first quarter this year, tough comps due to one inauguration last year and the wildfires. And then for the last three quarters of the year, you know, you are kind of looking at a zero to two-ish, one-and-a-half-ish RevPAR growth for the balance of the last three quarters. A lot of that is due to the effects of, you know, whether that was in DC with the three hotels with all shutdowns, you had a lot of uncertainty and unrest in LA that really pulled back some demand that, you know, I think should aid us this year. We have a couple of, like, one-time events. Obviously, Pittsburgh is hosting the NFL Draft in the second quarter right outside the doors of our hotel, so that is going to be a plus in the second quarter. And I think from a, you know, a summer perspective, if you look at it, we are trading off a Ryder Cup out on Long Island with a US, I believe it is US Open at Shinnecock. So that really should not affect much. But I think in general, you know, across some of our larger markets where, you know, there was some should be some easier comps the last three quarters of the year.
Dennis M. Craven: Yeah. I mean, I think, you know, I think generally speaking, it is mostly ADR growth for 2026. Think it might be just a—yeah, it is really all—yeah. Yeah. It is basically kind of flattish occupancy, so strictly ADR.
Dennis M. Craven: Yeah. I think, Tyler, I will start. I mean, I think with respect to the repurchase plan, you know, we intend to utilize most, if not all, of it in 2025. If you look at kind of the portfolio and the free cash flow from 2025 and 2026, after CapEx and after dividends, you know, it is essentially, we are using all of that over the last, you know, between those two years to utilize the entire repurchase, which we think is just a, you know, it is how it should be done. Right? You are generating excess cash flow after dividends, and we believe we are undervalued there, and we are going to buy it back. So, and I think, listen, from an external perspective, buying hotels, you know, as we have thought, we have not really done. The last hotel we bought was Phoenix in May 2024, so it has been almost two years. We have been very, you know, just patient and understanding not only from the financing and what Jeremy did with the balance sheet over the last couple years. That was a lot of work. But we are in a great position from a debt perspective to hopefully do some deals, and of course, it has got to be at a cap rate that makes money, especially in, you know, makes sense in light of where we are trading. But, you know, that is why we have been pretty patient. So we are hopeful to be able to execute on that a bit more here in 2026.
Tyler Batory: Okay. That is all for me. Thank you for the detail.
Dennis M. Craven: Thank you, Tyler.
Operator: Thank you. There are no further questions at this time. Please proceed.
Jeffrey H. Fisher: Well, I think we can wrap it up by saying thank you all for being on the call and being attentive. Good questions. As I said, hopefully, this guidance is conservative. And we do have the benefit of some, you know, as Dennis explained, some positive attributes for this year on the top line that should come to fruition and flow that to the bottom line as the focus. So we will look forward to talking to you for the next quarter. Thanks.
Operator: Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may now disconnect your lines.